Anette Olsen: Good morning, everybody, and a heartly welcome to the fourth quarter presentation for Bonheur 2025. My name is Anette Olsen. I'm the CEO of Bonheur. Today, we will do the presentation as usual, where Richard Olav Aa, our CFO, will present to you the overall figures. And we will then move to presentations by each individual CEO for the underlying companies. We have today a new CEO that we will present to you. She has been with us for a bit of time now, but first time presenting, and that is Maren Sleire Lundby. She is the CEO of Fred. Olsen Seawind. So a heartly welcome to you, Maren, and for everybody else. We will move to the figures. Richard?
Richard Olav Aa: Yes. Thank you, Anette, and also a warm welcome from me to this fourth quarter presentation. Before moving into the numbers, I think in my view, there are a lot of events this quarter, but maybe 3 things that I would like to point out that we -- one is that we continue to grow our earnings despite that significant assets like the Mid Hill windfarm and the installation vessel, Brave Tern, both have been idled the full quarter. And despite of that, the earnings continue to grow. Secondly, we have a major transaction this quarter with our long-term partner, MEAG, which we have been partnered in the renewables side for many years now, but also now are partnering with Fred. Olsen Windcarrier, which both Haakon Magne Ore and I will come back to. And thirdly, is a stellar booking performance in Cruise Lines. I think it's the best fourth quarter booking we ever had, and Samantha will come back to that in her presentation. A lot of other events as well, but I would like to highlight those 3 before we move into the numbers. So here, we have the highlights for the quarter per segment. I will be quite brief on this because this will be well covered by the CEOs. But starting from left, Renewable Energy and EBITDA fourth quarter last year of NOK 444 million, down from NOK 587 million. The main explanation for the reduction is that in fourth quarter '24, we booked NOK 160 million in insurance claim on the Mid Hill windfarm, that we don't have in the fourth quarter of '25. There are, of course, other pluses and minuses. Generation is somewhat down. We still have outages on several windfarms this quarter, but that was also the same in the fourth quarter in '24. So the main explanation on the result is the insurance. Sofie will cover the grid situation more in detail, but there are pluses and minuses there. It's very positive what we see in the U.K., that the U.K. government really takes renewable energy seriously and not at least with the new AR7 auction and also they're reinforcing the grid. Unfortunately, this comes with some negative impact on us and especially on the Mid Hill windfarm that Sofie will come back to. On the construction side, she will also cover that in much more detail. But Crystal Rig IV is soon to be finished actually this quarter. And then we have Windy Standard III, where we now have some issues related to turbine transportation, which could potentially delay the project. Wind Service, a good improvement from NOK 180 million to NOK 359 million year-over-year and despite Brave Tern being idled in the full quarter. Good operational quarter for Blue Tern and Bold Turn and also GWS had a strong finish to the year. Maybe most significantly in the quarter is the transaction with MEAG MUNICH ERGO, which is a long-term renewable investor, one of the leading in the world, which we have been partnering with on windfarm side. We also made a partnership agreement with them where they come in to FOWIC, invest EUR 150 million or approximately 24% in FOWIC. And this cooperation is intended to strengthen FOWIC's long-term strategic opportunities. For those who have followed us a while, you maybe remember 4 years back, we tried to IPO FOWIC that we had to pull away from due to the full-scale invasion of Ukraine, which is actually 4 years ago as we speak. Looking in retrospect now, I think we believe this is actually a better strategic transaction for the company. But financially, it's a total different valuation than we saw and a much better valuation than we saw in the IPO. So we're quite happy with this solution for FOWIC and also Haakon Magne Ore will come back to seeing it from more the company perspective. Cruise Lines, a quarter of continuous improvement, both on occupancy and yield. Still, the occupancy is below where it should be. But again, like I started with, and Samantha will cover more into detail, the booking numbers, which have grown 17% and really a massive change in this quarter -- in the fourth quarter, sorry, is really pointing to an improved occupancy for the future if Cruise Lines can keep up that kind of booking performance. Other investments, also an improvement. That's really related to the turnaround in NHST, which are now producing healthy margin for the media business. Per Arvid will cover more the progress on floating solar in particular, but we continue to invest both in floating solar and floating wind in 1848. Another news this quarter is that the Board proposed a dividend of NOK 7.30 per share, approximately NOK 310 million in payout. That is a healthy growth from last year dividend of NOK 6.75. The equity in the parent company after also allocating to the dividend of NOK 300 million, continues to grow and goes up year-over-year from approximately NOK 1.8 billion to approximately NOK 8.7 billion, and the equity in the parent stands with this dividend allocation at 68%. Summing up a little bit more long-term and maybe in particular, how the year ended, and this is the rolling 12 months revenues and EBITDA for the group. So the last data point is obviously the full year since it's rolling 12 months. We see on the revenue side, we end the year on a lower level than we had in '24. That is basically related to, see the bump on the Wind Service. That is due to the big contract we had with Shimizu for the Blue Wind vessel where we took in the full revenue, but also the full cost of that vessel. In addition, we sold off UWL and also the termination fee related to the big terminated contract in FOWIC also is a year-over-year event on the revenue side. Maybe more importantly is the earnings. That continued to grow year-over-year. You see the end position there with the black line. It's an improvement from '24 despite, as I started with, significant assets being out during the year and good improvements in many of the business units. We've been through this on a high level, but so just briefly going through the a little bit more detail on the revenue and EBITDA per segment in the fourth quarter. Revenue is down NOK 194 million. We see the main explanation is in renewable, and that is, again, the insurance claim on Mid Hill that was a part of the fourth quarter '24 revenues and not fourth quarter '25 revenues. Wind Service, a slight reduction in revenue. That is, again, related to termination fees, Blue Wind and UWL. So the 2 remaining vessels, we have 2 vessels that have been in operation and also GWS had a very strong finish to the year on the revenue. So good underlying revenue growth in Wind Service. Cruise Lines, flat on revenue measured in Norwegian kroner, but here we have to remember that the krona has strengthened quite a bit to the pound year-over-year. So there is a good underlying growth in pounds in Cruise Lines. And then some growth in NHST. On the EBITDA, the reduction in revenues due to the insurance claim plays also then directly into the reduction in EBITDA in renewables. While we see on Wind Service, the performance of Bold Tern, Blue Tern, and also GWS in a strong finish to the year, makes the EBITDA grow quite considerably year-over-year. Also Cruise Lines improved yield and occupancy, improved EBITDA, and also then the turnaround on NHST improved EBITDA there. So in total, EBITDA improves by NOK 73 million year-over-year. And like I started, a continuous improvement in EBITDA despite significant assets being out of operations. Then the consolidated figures, we have already explained the revenues and EBITDA. Depreciation is higher than normal this quarter. That is related to FOWIC that we have scrapped some of the equipment on the tern vessels coming out of the upgrades that we don't see a need for anymore after upgrades. Net finance is higher than normal this quarter. It was lower than normal the fourth quarter in '24. This is mainly related to unrealized gains and losses on the interest rate swaps in Fred. Olsen Renewables on the 2 joint ventures, which are project financed in the U.K. So in a way, fourth quarter '24 was abnormally low and fourth quarter this year is normally high. On taxes, we have the opposite, a normal low tax quarter that is related to Blue Tern entering the tonnage tax system, where we can reverse some of the earlier accrued taxes. So taxes year-over-year improved NOK 73 million. So all in all, also the EBITDA improved NOK 73 million, but we also see this also flowing down to an improvement in the bottom line on the net result. That takes me to my last slide, that is the group capitalization per fourth quarter '25. There are no big changes to this since the third quarter. So I will be quite brief. It's well in line with our policy, which you see on the left-hand side. Cash sitting in 100% controlled entities, close to NOK 5 billion. And the external debt we have in 100% controlled entities are mainly related to the bonds issued by Bonheur, close to NOK 3.1 billion. So where we control things 100%, we are net cash positive by close to NOK 1.7 billion. Where we have significant debt is, again, on the 2 joint ventures in the U.K. with [ TRL ] and Hvitsten, where the external debt is close to NOK 4 billion. Wind Service, which is GWS and where we don't control 100% GWS and Blue Tern, cash and debt net each other out and the same with NHST, which has a cash position slightly above the debt. So I think I will end there, just saying that the balance sheet is strong and hand it back to you, Anette.
Anette Olsen: Thank you, Richard. First out is Sofie Olsen Jebsen, CEO of Fred. Olsen Renewables.
Sofie Olsen Jebsen: Thank you. Hello, everyone. So summing up this quarter for Fred. Olsen Renewables, our production was 8% lower than the same quarter last year. I'll come back to the reasons for that. One point to highlight is that Mid Hill had an outage both in this quarter and in same quarter last year. But last year, that was compensated by insurance. For our construction projects, Crystal Rig I has estimated full production in March. And on Windy Standard III, the second construction project, the turbine component transportation is potentially delayed. You know this overview of our business model, and we are working to mature our projects towards the operation phase. So no big changes here from previous quarters. Moving on then to give a bit of a backdrop of the market. We have seen this quarter that the European power prices have risen due to an increasing demand. And that, combined with a weakened renewable output and then an increased need for fossil-fired generation has led to the higher prices that we see. There has been winter, so the demand has increased as normal. Additionally, we see that the Nordic power prices are the lowest in Europe, even though they increased significantly towards year-end. And then we see that continental market prices are indeed supported by fossil-fired generation that has increased. It also remains to comment that the prices are sensitive to hydrology, temperature, and changing gas prices. Moving on to production. That was 8% lower, as mentioned. We have this quarter seen external grid outages and constraints that I will come more on to. But in short, there is an ongoing grid upgrade program in the U.K. That is a good thing for the industry as a whole. Unfortunately, that is affecting our windfarm Mid Hill negatively, which has an outage this quarter, unfortunately. It also had an outage the same quarter last year, but that was due to a transformer failure at the substation and hence compensated by insurance. We're also seeing grid export constraints at Rothes and Rothes II. In addition to these external grid events, we have had lower production in Sweden at Hogaliden and Faboliden due to grid export limits, which are also then slightly external, but also icing and blade issues where we estimate that the blade repairs will be completed by Q3. In Norway, at Lista, we have partially curtailed turbines because we see there has been some fatigue-related broken bolts in the foundations, which we are -- have been investigating and are scheduling out a repair program for, which will be completed by Q4. I think it's worth mentioning that these foundations at Lista are quite solid. They are anchored down in the bare rocks. And when the bolts have been broken there, it has -- it is due to some fatigue-related reasons. On a more positive note, our windfarm, Crystal Rig I in Scotland has seen an increased availability on the recovery program we have there, which is the windfarm we have with very early generation design turbines. So moving on then to go a bit more into the grid outages and constraints, which we thought it was interesting to give you some more flavor of this quarter. Because the Mid Hill grid outage, which is current, is scheduled by SSE, so not controlled by us, to last until April '26. Now it's -- that was the original schedule. We now see an expected reenergization in July '26, which reflects weather impacts, supplier delays, and also supplier quality-related issues that SSE have experienced. There is also a second outage planned by SSE from November to April, so November 26 to April 27. There are mitigating actions underway, which we are working very hard on at the moment, and we expect a more firmer schedule to be updated by this mid-year. On Rothes I and Rothes II, we have seen grid constraints. They have been constrained since December '25 with then export limited at 50%, i.e., 25 megawatts per site because there has been a current transformer failure at the substation. In order to complete the repair there, there will be a 0 outage period from February to March so that SSE can perform all the job they need to do. After this, we expect all of the 3 sites above actually to return to full capacity once the outages are finished. Moving on then to our construction projects. Crystal Rig IV near Edinburgh in Scotland is estimating full production in Q1. I would also like to update on Windy Standard III, which is more in the southwest of Scotland, where we have seen new regulations since the beginning of this year that has significantly reduced the capacity for the Scottish police escort for abnormal load transport, which is required to transport blades, et cetera. We have now updated information on the availability of police resources, which result in a potential 4 to 6 months delay of these turbine component transportation. We are investigating mitigating actions and the impact that this may have on cost and schedule is still to be assessed. So this is the latest information I can give you as of now, and it also marks the end of my presentation. Thank you.
Anette Olsen: Thank you, Sofie. And then next is Haakon Magne Ore, Fred. Olsen Windcarrier.
Haakon Magne Ore: Good morning, everyone. If you turn over to the highlights for the quarter, I'm pleased to also say this quarter that fourth quarter was yet another quarter with solid operations. I think we have said that for the year, but I think it's good illustrated by that we achieved more than 99% uptime on our vessels throughout the full year. Further, as Richard mentioned, MEAG -- late December, MEAG announced an investment in FOWIC of EUR 150 million. I'm very pleased to also say that that formally closed in February. On the market side, I think we see -- continue to see the same trend as we have spoken about for the last 1 to 2 years, where we see that the underlying turmoil in the value chain and the industry is impacting the volatility of demand, especially towards the end of this decade. If we then turn over to the quarter itself, what the vessel has done. Bold Tern continued with good performance on the monopile drilling campaign of France. Brave Tern, there we used the period coming out of yard to prepare and mobilize for the Thor project. This is the first project for us with the new 14, 15-megawatt generation turbine. The vessel went on hire on Tuesday evening, and I think we are close to being fully loaded already for the first round. Blue Tern, it was on a major O&M campaign with Vestas for the quarter. This was the third consecutive major O&M campaign for the vessel this year. So I think it's very good that it proves its value in the higher-end O&M market. And also to illustrate the performance for the 109 days contract we had with Vestas, we actually had 0 downtime. I think that is one of the first time in the company history that we are able to deliver such a long contract without having any -- an hour of downtime. If we go more into the quarter, as I said, solid performance for the quarter. We were very close to 100% uptime, as Richard mentioned, both Brave Tern did not work. It was mobilizing and preparing for the Thor project. And I think I just added a picture in the slide to illustrate what we have done. You see now the new blade rack, which is out of the vessel. I think a little bit also illustrating the size of the turbines we are now starting to handle in addition to it being a nice picture. For the year, we, as I said, reported around above 99% uptime when we are on contract. And we had a quite significant amount of yard time. So more or less on average one vessel out every quarter due to yard, which hopefully now comes to an end in this year. I think we have touched upon it a couple of times, MEAG investing EUR 150 million in FOWIC. They will get around 24% ownership. It builds on an established relationship. But I think as we see it, I think it's a very good transaction, both for Bonheur and also for FOWIC. FOWIC was debt-free before this transaction. With the transaction, we further strengthened our position to deliver on our target to remain a leading payer long-term. So we are in a position to develop the company when we find the opportunity in the market. On the accounting side and the financials, we ended the quarter with an EBITDA of EUR 28 million, which led to an annual EBITDA of EUR 137 million. That was actually the fifth year with increasing EBITDA and a new record for the company. If you go to my last slide on the backlog. At the end of the year, the backlog was at EUR 391 million. I think that the trend we have seen for the last year with major new contract activity being slightly on the lower side than what we normally have seen in general for the industry continued also this quarter. On the positive side, the early announced reservation for the Gennaker project in 2028 turned into a firm charter party and is now part of the backlog. On the market side, I think 2026 will be the most busiest year on record for the industry. The number of turbines, which is scheduled to be installed, is significantly above what we have seen in the last 3 years. So activity-wise, the medium-term is high. But as we have mentioned, we see that the turmoil in the value chain that started back in '22, '23, it impacts the timing of demand. This is not new. This trend has been there for some time, but we see that it impacts the timing of demand, especially when we look into the end of this decade due to the long lead time in the industry. So I think that concludes my remarks.
Anette Olsen: Thank you, Haakon Magne. Samantha Stimpson, Fred. Olsen Cruise Lines. Welcome.
Samantha Stimpson: Good morning. So if I go through the highlights first. So overall, a good performance in Cruise Lines for quarter 4 with increases being seen in utilization, yield, as well as continuing our focus on cost controls. We also continue to see improvement in customer satisfaction, and I'm pleased to say forward bookings are looking strong. So if I take you through that in a little bit more detail. So we've been able to increase yield per passenger per day by 3%. Our utilization also increased by 3%, which gave us an overall, with the cost control measures, EBITDA impact of a positive NOK 14 million year-over-year. When we look at customer satisfaction, our customer Net Promoter Score continued to increase in the quarter with a positive 10-point improvement, demonstrating that we continue to listen to the guests and improve our customer proposition, supporting our retention going forward. And again, pleased to say as per Richard's update this morning, that forward bookings are looking strong. In addition to that, quarter 4 bookings actually performed very well for late departures in the Q4 2025 period. And sales for '26 and '27 are looking very promising. And if we look at our final slide, it just gives you a bit of an overview of the sailings that we had as we went through Q4. So Borealis, you can see here, 7 sailings in that period. She had fewer sailings than Bolette and Balmoral, predominantly due to her dry dock that happened during the Q4 period. And then what you can see is Balmoral had more sailings in that period, demonstrating, as I mentioned in the previous update, that we are continuing to focus on increasing the number of sailings, therefore, having shorter sailings in each of the quarters, enabling us to carry more passengers in each of the quarters. And that's the end of my update. Thank you.
Anette Olsen: Thank you, Samantha. And Maren will now cover the Fred. Olsen Seawind.
Maren Lundby: Thank you. So good morning, everyone. My name is Maren. I stepped into the role as CEO of Fred. Olsen Seawind in December last year. So a few highlights from last quarter from our side. We have 2 strong projects in attractive markets. We have diligent and flexible development strategies in our projects. And the strong results from AR7 announced earlier this year confirms the policy supports in the U.K. as well as our strategic direction set out for our U.K. projects. For an overview of our portfolio, we'll -- we can see Codling Wind Park, a bottom fixed project in Ireland together with EdF. We have secured site exclusivity, grid access, and a CfD contract for 1,300 megawatts for 20 years. In late '24, we submitted the consent application, and we are actively engaging with authorities and stakeholders to progress the consent determination. The project's focus is on maturing supply chain and business case towards FID following the consent award. In Scotland, we have a 1,000-megawatt floating project together with Vattenfall, Muir Mhor. There, we have secured site exclusivity, onshore consent, land areas, and grid access. So the remaining milestone is the offshore consent, which we expect to come in later this year. So the project is focused on securing the final consent, obviously, as well as progressing towards a CfD auction. So if we zoom in a bit to the project in Ireland, where the consent application process is ongoing and followed very closely by the team. We are also in the process of submitting data under the further information request that we received from the Irish government last year. As you may recall, this has postponed the expected consent determination somewhat. The Irish government, however, remains fully committed to its offshore wind ambitions as was illustrated by the successful Tonn Nua auction in late '25. Codling is still a key project to reach the government's offshore wind ambitions. Within the project, we are preparing for procurement processes on all the major scopes on the back of the expected consent determination. Moving to Scotland and my final slide. We have signed land option agreements last year for both the landfall and onshore substation area. As I mentioned, the onshore consent was awarded and so was grid was secured last year and also advanced with the radial connection. We have potential to improve the connection dates further. And with all this, together with the expected offshore consent to come this year, we will be in position to bid into a CfD auction when we receive the final consent. We remain focused on being the first mover or one of the first movers in Scotland for floating offshore wind. And as I mentioned, the strong results from AR7 confirms the U.K. government support towards the industry, its ambitions towards clean energy 2030 targets as well as confirming that strategic direction that we have set out for the project. Thank you.
Anette Olsen: Good. Per Arvid Holth, Fred. Olsen 1848.
Per Arvid Holth: Thank you, Anette. So in my previous presentation in the last quarter, I presented the numbers from the International Energy Agency, showing that solar PV is the fastest-growing source of renewable energy and will be the largest source of renewable energy by 2028. And in Fred. Olsen 1848, we strongly believe that floating solar will be part of supporting that growth. So in this presentation, I thought I'd go one step deeper and focusing on shore lines. It's basically inland and nearshore FPV that is we look at and speak about why we in 1848 are targeting the shore lines and distributed PV applications. As you can see, it is expected to have a solid contribution to the growth for island communities and ports. So nearshore FPV is something that we have been convinced about in 1848, and it's also a very strong driver behind the design of our floating solar PV technology, BRIZO. Nevertheless, we see that nearshore solar is lagging a bit behind inland, which has already reached utility scale developments. But we do see movements now in the markets across Southeast Asia, in the Pacific, in the Indian Ocean, and in the Korean. So our focus has really been on where do we enter nearshore solar with our technology. And here, island communities and ports powered by fuel oil stand out as a clear case. So if we move to the next slide, that is because there are some clear pain points for these applications that a nearshore FPV plant can solve. One is a high power price, several times higher usually on islands than on -- than the global average, being dependent on importing fuel oil brings volatility to your electricity prices. Energy security is important in most regions these days and relying on imported energy is reducing energy security. Of course, it's not sustainable. And if you want to grow renewables along the shore, then scarcity of land can be an issue. So for these pain points, a technology like BRIZO brings relief and solving these pain points. And that is through cost savings, floating solar is cost competitive to fuel oil. It solves land and carbon footprint challenges. That is every kilowatt hour produced by floating solar displaces a kilowatt hour produced by fuel. And it also resolves the footprint challenges, which can be onshore. Every kilowatt hour produced by a local source is more secure than one that depends on imports. So it strengthens energy security. And another benefit for nearshore PV is it's scalable at speed. So a technology like BRIZO comes in modular -- 3-megawatt modular parts. So you can start with 3 megawatt, increase with 12, and so on and so on as the demand increases. So as a summary, entering the nearshore market, we see that the displacement of electricity generated by fuel oil is a natural starting point. And beyond that, we also see clear scaling applications for floating PV, supporting industrial scale developments or even utility. So a bit of a sneak pick on how we look at nearshore to finalize the CEO presentation at this time. Thank you.
Anette Olsen: Very good. We will now open up for questions.
Operator: [Operator Instructions] We are now going to proceed with our first question. And the questions come from the line of Daniel Haugland from ABG Sundal Collier.
Daniel Vårdal Haugland: I have 3 questions. I'll start on FOWIC and the MEAG deal. It's a very interesting transaction, obviously. So I was wondering, can you give any more commentary on what is kind of the strategic rationale or maybe your plans here? You kind of commented a little bit about it, but I see that the deal includes some primary components. So do you have any kind of plans to do with the proceeds, et cetera? So I'll just start there.
Richard Olav Aa: No. In general, I think the financial details is disclosed in details in the presentation on what is secondary and what is primary share issues. So I think you have that details in the press release itself. When it comes to the strategic, what -- how we are going to develop the company, then I have to refer to the Bonheur guiding policy where we do not disclose any thoughts on major investments or future before it potentially is done.
Anette Olsen: It's nice, though, to see that MEAG believes in us and wants to invest in the company.
Richard Olav Aa: Absolutely. And as I said, it puts the company in a very good position. It was in a very good position being debt-free. But now with this added flexibility, we are in a position to rapidly take advantage of opportunities should they arise.
Daniel Vårdal Haugland: Okay. Then I have a question on Cruise. I think you -- it maybe a few quarters ago, but I think you indicated that Bolette was also going to dry dock in Q4. So that doesn't seem like it happened. So any commentary on whether there's kind of a planned dry dock for Bolette now, let's say, in the next couple of quarters or?
Samantha Stimpson: So I think I heard all of your question. So in quarter 4, Borealis had her dry dock and quarter 1, Bolette had her. So quarter 1 of this year, Bolette had her dry dock, so it was complete. You're right, the original plans 2 years ago were to do both vessels in Q4, but I made that change the year before last to separate the dry docks one in each quarter.
Daniel Vårdal Haugland: Yes. That make sense. And for the -- but kind of the duration is kind of approximately the same, I guess?
Samantha Stimpson: What, sorry?
Richard Olav Aa: Duration.
Anette Olsen: Duration.
Daniel Vårdal Haugland: So a couple weeks, I guess?
Samantha Stimpson: Yes. So the duration of the dry docks for both vessels, so for Borealis and Bolette was around sort of 2.5 weeks for each of the dry docks.
Daniel Vårdal Haugland: Okay. Super. And then just last question. So my question is basically on renewable energy. So are you seeing any kind of external interest in your onshore portfolio? And the reason I'm asking is obviously that Orsted sold its European onshore portfolio to CIP this quarter and it seems like they are getting a good price. So are you guys kind of also open to do anything structurally in onshore? Not obviously selling the entire business, but let's say, divesting parts of the portfolio to further develop new projects or something like that if an opportunity arise?
Sofie Olsen Jebsen: Thank you for your question. I think what I can comment on there is that we are very much focusing on progressing a solid and healthy portfolio of projects in the markets that we are in. So that is our main focus at the moment. And we will let you know about any other developments if and when they occur.
Operator: We are now going to proceed with our next question. And the questions come from the line of Lars Christensen from Fearnley.
Lars Christensen: I have a question in relation to the Fred. Olsen Cruise. Is there any planning of future fleet here in relation to that? You're starting to have a pretty old fleet in the Cruise segment. Is it possible to get any color on that, please?
Anette Olsen: Future possibilities.
Samantha Stimpson: So under Bonheur guidance, I can't sort of speculate on anything. What I can say is, in '22, we welcomed 2 vessels into the fleet, larger vessels, which we were very excited to receive. And we continue to monitor activity in the market. And yes, I think we're in a good position. We've still got opportunity to continue to focus on utilization and occupancy improvements with the current fleet, but we'll continue to monitor the market and our performance.
Lars Christensen: Okay. And then I also have one question in relation to Codling. Is it possible to get any color on how much you have invested so far into the project?
Sofie Olsen Jebsen: Thank you. The question was how much we have invested so far into Codling project? Yes. I believe the number is NOK 800 million.
Richard Olav Aa: Yes, it's disclosed on Page 18 in the report, both for Codling and Muir Mhor. Yes.
Sofie Olsen Jebsen: Yes.
Operator: [Operator Instructions] We have no further questions at this time. So I'll hand back to you for closing remarks.
Anette Olsen: Well, thank you very much, everybody. It seems that the presentations this time are fairly clear and understood. So thank you for joining us.